Operator: Thank you, and welcome to the Boxlight Third Quarter 2023 Earnings Conference Call. By now, everyone should have access to the press release issued this afternoon. This call is being webcast and is available for replay. The remarks today will include statements that are considered forward-looking within the meanings of securities laws, including forward-looking statements about future results of operations, business strategies and plans, customer relationships, market trends and potential growth opportunities. In addition, management may make additional forward-looking statements in response to your questions. Forward-looking statements are based on management's current knowledge and expectations as of today and are subject to certain risks and uncertainties and may cause the actual results to differ materially from the forward-looking statements. A detailed discussion of such risks and uncertainties are contained in the company's most recent Form 10-K, Form 10-Q and other reports filed with the SEC. The company undertakes no obligation to update any forward-looking statements. On this call, management will refer to non-GAAP measures that when used in combination with GAAP results, provide additional analytical tools to understand the company's operations. The company has provided reconciliations to the most directly comparable GAAP financial measures in the earnings press release, which will be posted on the Investor Relations section of the company's website at Boxlight.com. And with that, I'll hand the call over to Boxlight's Chairman and Chief Executive Officer, Michael Pope.
Michael Pope: Hello, everyone, and thank you for joining our Q3 earnings call. Following my remarks, you will also hear from Mark Starkey, our President; and Greg Wiggins, our Chief Financial Officer. Greg is joining from our corporate office in Atlanta, Georgia. Mark and I are joining from Singapore, where we're attending the largest education conference and exhibition in Asia. As part of our company's growth strategy, we're evaluating geographic expansion in the Asia-Pacific region, particularly in Indonesia, Singapore, Taiwan, Thailand, the Philippines, and Vietnam. We're meeting with several distribution and reseller partners at the conference this week. For the third quarter, we reported $50 million in revenue, $18 million in gross profit, and $4.9 million in adjusted EBITDA. Revenue declined by 28% for the quarter and by 23% for the nine-months ended September 30th over the same periods last year. The revenue decline was largely a result of softer industry demand. However, we also didn't cash our market shares anticipated, specifically in key geographic markets and with certain product categories. We did maintain a strong gross profit margin reporting 36% for the quarter and 37% for the nine months ended September 30th, both an improvement over 31% and 28% for the respective periods last year. In planning for the next several quarters, we have committed to be more financially conservative by reducing both our growth expectations and operating expense budget to ensure improved profitability. For the fourth quarter, we expect revenue and adjusted EBITDA to be in line with Q4 last year. For the full-year 2024, we anticipate modest revenue growth driven by investments in one, our enterprise vertical, two, certain geographic regions and three, our expanded product suite. To drive improved profit margins, we will be reducing certain G&A expenses that we expect will have minimal impact on short-term growth. We ended the quarter with a strong balance sheet including $61 million in working capital, $18 million in cash and $44 million in inventory. Our balance at quarter end was 48 -- our debt balance at quarter end was $48 million. Subsequent to quarter end, we paid down our debt facility by an additional $4 million, resulting in a current debt balance of approximately $44 million. Over the last 12 months, including the $4 million payment, we have reduced our debt facility by $15 million. And in near term, we plan to refinance our debt with a lower cost facility, which will provide more favorable loan covenants and result in a substantial increase -- substantial interest expense savings. During the third quarter, we officially introduced our Google EDLA interactive panels, Clevertouch IMPACT Lux and MimioPro G. These new additions to our interactive panel lineup are the first to feature direct access to the Google Play Store. They are equipped with 50 touch points, cutting edge, micro antibacterial glass and integrated NFC for quick user profile loading. Every Google EDLA certified IMPACT Lux and MimioPro G display also includes accelerated Level 1 and Level 2 Google certified training. We also launched our new range of Clevertouch commercial displays powered by our award-winning digital signage platform, CleverLive. We're proud to offer a complete digital signage portfolio that supports all types of screen deployment requirements for customer environments in both our education and enterprise verticals. Our Clevertouch CM series display range includes hybrid panels, kiosks, 16 by 7 and 24 by 7 displays, menu boards, and LED video walls. During the third quarter, we were honored to win nine Best of Back to School awards from Tech & Learning, the awarded products by our hardware, software, curriculum, and more categorized by grade levels. We earned awards in both primary and secondary categories for our menu wall LED displays. Mimio DS Digital Signage Series, Mimio MyBot Recruit, Clevertouch IMPACT Lux Interactive Display, and FrontRow teacher Action Mic, powered by ELEVATE wireless technology. This past Friday, CleverLive was also selected as the Digital Signage Technology of the Year by the renowned AV Awards, a highly respected industry recognition judged by experts from end-user organizations, consultants, and industry leaders. This victory solidifies our position as a leading player in the Digital Signage Market. We published multiple success stories in Q3, including our success of Teacher Daniel Thompson at Ron Clark Academy in Atlanta, Georgia, inspiring student engagement with our Labdisc All-in-One Science Labs, and of Cameron Hefner, a STEM Teacher at Liberty Local School District in Youngstown, Ohio, who has enriched STEM learning with our award-winning MySTEM kids STEM curriculum. Clevertouch's success stories showcase comprehensive solutions for LYNX Whiteboard software in CleverLive that enhance interactive learning, transforming classrooms into engaging hubs of education. We had two major rollouts with Worthy Down, part of the Defense Services in the U.K. The initial rollout was for 75 Clevertouch IMPACT Lux touch panels, with some on carts for collaboration and ad hoc signage. The second phase enhanced campus communication via cloud-based digital signage system using Clevertouch CM series displays and CleverLive for easy content management. These examples highlight Boxlight's commitment to innovative and effective solutions and powering all users. Lastly, I'd like to thank our shareholders, employees, reseller partners, and customers for your continued support. With our dedicated employees and industry-best solutions, we expect a return to revenue growth in 2024 and with stronger profit margins. With that, I will now turn the time over to our President, Mark Starkey.
Mark Starkey: Thank you, Michael and good morning, good afternoon, and good evening to everyone on the call. Q3 was a tougher quarter than we had expected, and we continue to face challenging market conditions in both the U.S. and EMEA. Despite this, we managed to book $48.5 million of orders in the quarter, which represents an 11% increase in Q3 last year. The return to growth order intake is key, because it is an early indicator of revenue growth, and our expectations are that the business should start to return to moderate revenue growth in 2024. The U.S. accounted for 48% of our total order intake during Q3, with 51% coming from EMEA, and 1% coming from the rest of the world. Our market share for interactive flat panels increased marginally in EMEA in Q3, from 6.6% to 6.7%, but decreased in the U.S. from 8.4% to 6.3% due in the main to some large one-off deals with other vendors. On a year-to-date basis, our market share in the U.S. has declined only marginally from 6.9% to 6.2%, and in EMEA, it is broadly the same at 6% versus 6.1% last year. One of the main things that we have focused on is maintaining higher gross profit margins, and we have deliberately avoided some very low margin intender business, especially in Southern Europe, which is part of the reason for the marginal decline in market share. In other markets, we have made some strong gains, such as Australia, where we have increased our market share from 14.9% to 18.8% over the past year. In Finland, we grew our market share from 36.9% to 40.1%, and in Switzerland, we grew from 14.4% to 19.9% compared with last year, according to data from Futuresource. We have very high market share in some other European countries, such as Austria, where we have 36.7%, Ireland, where we have 34.7%, Belgium, with 28.1%; and Denmark, with 22.7%. he most important market in EMEA remains Germany, and this is where we have the largest opportunity as our market share is relatively low at 5.2%. Over the past 12 months, we have doubled the size of the German sales team, and our expectation is that we can achieve double-digit market share within the next two years. Some of our key orders in the U.S. including $7 million from ELB, currently our fastest growing partner, $5 million from Bluum, $2.6 million from Camera Mundi based in Puerto Rico, and $1.2 million from GDI, our U.S. distribution partner. Overseas, we have some excellent orders, including $2.3 million from IDNS in U.K. $1.2 million from CANCOM in Germany, and $1 million from Charmex International in Spain to name a few. Our new generation of Google accredited Clevertouch screens started shipping during Q3 and customer feedback has been excellent. Our Google accredited Mimio screens will start shipping during Q4 in the U.S. We believe these fully integrated Google screens will prove very popular with school districts. In the U.S. we have some fantastic wins including over 3,000 panels and stands shipped to El Paso School District in Texas via our partner ELB. We also continued to supply more than $1.2 million of panels to Las Cruces in New Mexico, again via ELB. We had some great wins in Michigan with over $1 million of screens and audio solutions delivered via our partner DAT. In Dayton, Ohio, we won a very large order to supply our FrontRow audio solutions across district, worth over $1.5 million via our partner Bloom. In the U.K., we supplied our first shipment of 1,100 screens to the Welsh schools via our partner IDNS, worth approximately $1.7 million. We also had some great wins in Germany, shipping 600 screens under the tender via our partner CANCOM, worth approximately $1.2 million. We also won the Düsseldorf tender for 400 screens, which shipped in the quarter worth approximately $800,000. In summary, despite Q3 revenues being down, we booked the first increase in order intake in five quarters, and we believe this marks the turning point in the cycle, with a steady return to revenue and EBITDA growth. With that, I will now turn the call over to our CFO, Greg Wiggins.
Greg Wiggins: Thanks, Mark, and good afternoon everyone. I will now review our third quarter results. Revenues for the three months ended September 30, 2023 were $49.7 million, as compared to $68.7 million for the three months ended September 30, 2022, resulting in a 27.7% decrease and was due to lower sales volumes across all markets. Gross profit for the three months ended September 30, 2023 was $18 million, as compared to $21 million for the three months ended September 30, 2022. Gross profit margin for Q3, 2023 was 36.3%, which is an increase of 570 basis points over the comparable 2022 quarter. Gross profit margin, adjusted for the net effect of acquisition related purchase accounting was 37.2%, as compared to 31.6% as adjusted for the three months ended September 30, 2022. The improvement in gross profit margin in Q3 2023, compared to Q3 2022 is primarily due to lower manufacturing costs and continued reductions in freight costs over the prior year period. Total operating expenses for Q3 2023 were $29.6 million and included a goodwill impairment charge of approximately $13.2 million due primarily to lower sales volume stemming from the industry downturn and a change in the company's reporting segments in 2023, which resulted in a change in the company's reporting units. Other expense for the three months ended September 30, 2023 was a net expense of $3.1 million as compared to net expense of $2.8 million for the three months ended September 30, 2022. The increase in expense was primarily due to an increase in interest expense of approximately 400,000 partially offset by gains recognized from the change in fair value of derivative liabilities of approximately 200,000 in Q3 2023. The company reported a net loss of $17.8 million for the three months ended September 30, 2023 as compared to net income of $3.1 million for the three months ended September 30, 2022. Net loss attributable to common shareholders was approximately $18.1 million for Q3 2023, compared with a net income attributable to common shareholders of $2.8 million for Q3 2022. After deducting the fixed dividends to Series B preferred shareholders of $317,000 in both 2023 and 2022. Total comprehensive loss for the three months ended September 30, 2023 was $20.6 million compared to total comprehensive loss of $1.9 million for the three months ended September 30, 2022, reflecting the effect of foreign currency translation adjustments on consolidation with the net effect in the quarter of approximately $2.9 million loss and $5 million loss for the three months ended September 30, 2023 and 2022 respectively. EPS loss per basic and diluted share was $1.90 for Q3 2023. EPS per basic and diluted share for Q3 2022 was $0.31 and $0.28 respectively. EBITDA loss for the quarter ended September 30, 2023 was $9.4 million, which included the Goodwill impairment charge of $13.2 million as compared to $8.5 million EBITDA for the quarter ended September 30, 2022. Adjusted EBITDA for Q3 2023 was $4.9 million as compared to $9.9 million for Q3 2022. Adjustments to EBITDA include stock-based compensation expense, impairment of Goodwill, gains losses from the re-measurement of derivative liabilities, gains losses recognized upon the settlement of certain debt instruments, and the effects of purchase accounting adjustments in connection with recent acquisitions. EBITDA loss for the nine months ended September 30, 2023 was $3 million. million as compared to $12.9 million for the nine months ended September 30, 2022. Adjusted EBITDA for Q3 2023 was $13.7 million as compared to $16.3 million for Q3 2022. Turning to the balance sheet at September 30, 2023 Boxlight had $18.4 million in cash, $61.4 million in working capital, $44.1 million in inventory, $180.3 million in total assets, $44.4 million in debt, net of debt issuance cost of $3.6 million and $30.6 million in stockholders equity. At September 30, 2023 Boxlight had 9.6 million common shares issued in outstanding and 3.1 million preferred shares issued in outstanding. At September 30, 2023 the company was not in compliance with the senior leverage ratio under its credit agreement. The company's non-compliance was cured by the company paying $4 million principle in November, which would have resulted in the company being in compliance with the senior leverage ratio at September 30, 2023. The company is actively seeking to refinance its debt with new lenders. So the company believes will be on terms more favorable to the company. Following the $4 million principle repayment, the company's debt balance is approximately $44 million, including the $4 million paid in November, since Q3 2022, the company has repaid principle on its credit facility of approximately $15 million. We continue to strategically review our capital structure and use of free cash, including but not limited to paying down debt, executing on our share repurchase program, and finding more attractive financing agreements to replace our current facilities. We believe that cash flow from operations will continue to support our ongoing operations without the need for additional equity or debt financing. With that, we'll open up the call for questions.
Operator: Certainly. At this time, we will be conducting a question-and-answer session. [Operator Instructions]. Your first question for today is coming from Brian Kinstlinger with Alliance Global Partners.
Brian Kinstlinger: Great. Thanks for taking my questions. Can you help reconcile the stronger orders you were seeing in July through the first few weeks of August and even for the quarter? And you talked about that at the end of the second quarter conference call. Can you reconcile that with the lower than expected revenue? I think we were looking for a lot more then we've delivered, did you see order cancellations that may have made orders stronger? Did some of the demand disappear? Just trying to understand what changed so quickly versus what was said, I think it was mid-August?
Michael Pope: Yes, hi, Brian. Look, I think, basically it was soft demand. We didn't have any canceled orders. We expected, and I think the industry was expecting much stronger demand in Q3. We started to see that, but it just didn't really take off. And the second half of Q3 was a lot slower than we expected. So, the bottom line is it was just softer demand across the board, both in the U.S. and EMEA during Q3.
Brian Kinstlinger: And so your -- go on.
Greg Wiggins: Yes, we just had, we ended the quarter with an increase in customer orders, up 11% just which we expected, we expected greater than that. But we did see a nice increase, but not nearly to the extent we thought. And then leading into Q4, I'll just mention, you probably heard that we're guiding really revenue to be flat, adjusted EBITDA to be flat with last year. And that's really as a result of Q3 being a little bit slower than we expected rolling into Q4. But we are still quite optimistic for next year, looking at our pipeline and other indicators, we do believe we'll start to see growth again next year.
Brian Kinstlinger: I guess with the industry and even Boxlight expecting stronger demand, what are customers saying during the conference now, you're seeing customers, is it a lack of budgets? Have they already adopted enough new technology they're trying to digest in the classroom? What do you think has changed in terms of the market dynamic? Or what are you hearing that's changed?
Michael Pope: I think generally, Brian, it's -- customers are just like, not maybe as urgent as they were. I mean, definitely after the pandemic and the stresses on the global supply chains, there was a lot of urgency and a huge amount of orders being placed. And maybe, some end users spent a lot of budgets. And now, we're looking at big projects, which are expecting Q3. Now, I know it's just late a few months. It's now happening in Q4. That's been pushed into the New Year. That's kind of what we're seeing. It's not one big thing. It's just a general, people are not as urgent to place large orders and kind of just slowing down slightly.
Brian Kinstlinger: Now, assuming revenue is flat year-over-year, I get that G&A cuts take some time, but you have much better shipping rates you've talked about, much higher gross margin. If revenue was flattish, why wouldn't EBITDA be higher even marginally?
Michael Pope: Looking into next year.
Brian Kinstlinger: I'm just talking about the fourth quarter because the rates recovered at the beginning of the year. I'm just looking at year-over-year in the fourth quarter, I get the next year is a different story.
Michael Pope: I mean, gross profit in Q4 last year I think was just under 34%. And I think we were running a bit higher than that in Q3. So it's going to start to get marginal. You did start to see gross profits increase at the end of last year. So I think it would be marginal differences.
Brian Kinstlinger: Okay. And then the competitive landscape?
Greg Wiggins: Hey Brian, just a real quick comment on that. I think that's really been, for this year for 2023, we started the year with a bit lower gross profit margin in Q, kind of early in the year and it kind of ramped. Or actually, that was, I guess really, I guess beginning of last year we had Q1, especially with stuff, but we also ramped a little bit kind of this year and we have kind of higher gross profit margin. We've guided last quarter, we mentioned we didn't know that we could sustain 37%, 38% type margins that may come down some. So I think in event to be conservative, Q4 going into next year, I don't know that you had to expect the 36%, 37%, 38% gross profit margin, but we ought to be kind of maybe closer to 35% or so, something like that. And so if that's the case, and we're not going to be real far off from before last year or so.
Brian Kinstlinger: Got it, one more question. The first one is [Technical Difficulty].
Greg Wiggins: The margin for Q4 last year, just a reminder was close to 34%. So as Michael was saying, it was actually ticking upward towards the end of last year. And so while that's held and actually increased for a good portion of the 2023 year, we'll probably see that start to decline just a little bit. So the pickup from the margin increase, when we're looking at Q4 won't necessarily be as drastic.
Brian Kinstlinger: Yes, and then in the gaining market share, you've been gaining market share for several quarters. Has anything changed from competitive perspective? Number one. And then in Germany, you're talking about the biggest opportunities to gain share. What do you think makes that market right for market share gains? And then I have one last question.
Michael Pope: Yes, maybe I'll say a couple of things. Mark, you can jump in kind of more specifically. Yes, so if you look at this year, year-to-date, we have not gained kind of across the board in our major markets, U.S. and EMEA. If you look at those blended as Mark shared in his portion of the contract, we didn't really gain much market share. So that was a little bit disappointing that that didn't happen. This year we were relatively flat with the market. Now we did in certain geographies. We did have upticks. And other ones we were down a little bit, but we're pretty optimistic that that can turn next year and that we will start to gain market share. Now, when we talk about market share data too, we're only really talking about interactive flat panel displays because that's the market share data that we subscribe to when we receive. We don't see a lot of market data around other solution suite. But speaking to growth in the next year, I'll talk a little bit more broadly and then Mark, you can talk maybe specifically to Germany and other markets, but talking more broadly, looking in next year, the reason that we think we can see some growth is because we've invested in the enterprise vertical. We know we're going to bring in some new business in enterprise. So that's one. Secondly, we invested in certain geographies. You mentioned Germany, which Mark will talk more about, but that's an example of a geography where we're going to see some growth geographically based on people investments we've made in those areas. And the third is growth in our product suite. Because we've launched a lot of new products. If you look over the last 12 months, we launched our new line of non-interactive displays. Those are new in the U.S. We didn't have those before. Our new LED video walls, newly launched this year. Our new media hubs, newly launched this year. Our EDLA interactive flat panel displays, new this year. A lot of new integrations between our audio solution and our interactive flat panels, including our Attention solution, newly launched this year. Large investments in our software and LYNX Whiteboard and MimioConnect, CleverLive, and other software solutions. And so a lot of these product investments, that's act in three area where we expect to see growth. So even if the interactive flat panel display market is relatively flat next year, which we expect it to be in the U.S. and in EMEA, we're going to see some growth because of those investments in those various areas. And we think that because of that, we'll take a little bit of market share as well within IPD today?
Michael Pope: Just quick one on Germany, Brian, because you're asking about Germany. So it is now the biggest market for IPDs in Europe. It wasn't until that's changed in the last 15 months, it's the biggest market. And across Europe, in many countries, we actually have really high market share. And Germany is the one that stands out as being significantly low. Last year we were at 4.5% in Germany. We're now up to 5.2%. But we hired and significantly, we doubled the size of our German sales team from like five to 10. And that's only reached, that happened over the last 12 months. Those guys are now starting to kick in in terms of really winning some big deals. The other thing is we've just, next week we're actually flat out to Germany and we're opening our first showroom in Germany. So again, it kind of gives us more presence in Germany. And that will be a key market for us to grow. And we think we've got the right team that's to grow market share.
Brian Kinstlinger: Great. My last question on the debt covenants. It sounds like you're back in compliance after paying $4 million if I have that right. What is the required covenant for the net leverage ratio or whatever covenant you missed, so we can gauge where you are or going to be in the future?
Greg Wiggins: Sure. So for Q4, it's -- it will be 2.5x and that's in accordance with the original debt agreement that we entered into. Obviously as we've said, we're actively looking to seek refinancing on our credit facility and we're optimistic that we'll be able to find a solution that will give us more favorable terms in the not too distant future, so we're optimistic about that. I would say that in terms of just overall leverage ratio, even despite the four quarter downturn, the industry's experienced, again which we've started to see some early signs have turn around even with the last four quarters being downturn. Our leverage ratio has been maintained under 3x, which I think it speaks to positive EBITDA, we've been able to generate through our improved margins. So, it won't step down to 2.5x, but...
Brian Kinstlinger: You have to get to 2.5x, or that's where you're going to be?
Greg Wiggins: 2.5x is our requirement for Q4.
Brian Kinstlinger: Got it. Okay. Thank you.
Michael Pope: Thanks, Brian.
Operator: Your next question is coming from Jack Vander Aarde at Maxim Group.
Jack Vander Aarde: Okay, great. Thanks for the update, guys. Many of my questions have been asked, but maybe I'll just circle back to kind of the guidance. So, last quarter, the overall tone and just kind of verbal body language felt like you're pretty confident in the third quarter outlook, and obviously, you had a slower back half than expected. But just looking at the fourth quarter guidance, in relative to kind of the tone and body language from last quarter, how confident are you in hitting those targets for the fourth quarter?
Mark Starkey: Yes. Hi, Jack. It's Mark Starchy. Look, we're pretty confident. I think we try to be more conservative on the Q4 call. We basically said little flat with 2022. Q3 was disappointing, right? Yes, and the second half especially, right? When we did our call three months ago, we did. We could see we're going to definitely grow an order intake. We actually thought the growth in order intake would be higher than what it ended up with. We ended up with 11%. We thought it could potentially be north of 20%. So, it was definitely slower on the second half of Q3. We have been more conservative in our guidance for Q4, as I'd say.
Jack Vander Aarde: Okay. That makes sense. It's helpful. And then maybe just, Michael, you opened up with comments about Asia and everyone's different geographical positions or locations. Can you just talk a little bit more about your expansion opportunity plans in Asia and it sounds like you're somewhat early in maybe devaluation phases, but when might you see some tangible results from any new potential Asia market opportunities?
Michael Pope: Yes, so right now clearly the biggest opportunities for growth for us are in the U.S., and then I would say Western Europe particularly Germany. We're also seeing a lot more opportunities in Eastern Europe. We also have an employee now in the Middle East and there seem more opportunities in the Middle East. So I think again the U.S., EMEA region are by far the largest growth opportunities for us over the next 12 months, but we're just starting to and we sell some in the APAC region and particularly Australia do it quite well, and we have sold in other countries throughout Southeast Asia, not large quantities, but I would say we're optimistic. We can start to see some meaningful growth even over the next 12 months in that region, but I would say if you're looking at again, over the next 12 months in particular, it's substantial growth. It's really going to come from our existing territories over the next two quarters.
Jack Vander Aarde: Okay. And then maybe just in terms of some of the orders that were slow, the slowdown kind of happened in the back half of the quarter. Can you talk about maybe, was there any nuanced trends, a bigger slowdown in corporate enterprise versus your K-12 education markets? Was there any sort of distinct trends there or was it pretty much just, was it really indeed general overall softness?
Michael Pope: Well, if you look at overall business, enterprise is less than 10% of our total business. I mean, we are largely, really largely K-12 education company today. Now we're looking to grow that enterprise vertical and that's happening as we saw growth in enterprise. And we think we're going to see substantial growth in enterprise next year. And so it wasn't enterprise vertical. It was purely education vertical that was slower than expected.
Jack Vander Aarde: Okay. Understood. I think that's it for me, guys. I appreciate the update and good luck going forward. Thank you.
Michael Pope: Thanks, Jack.
Operator: We have reached the end of the question-and-answer session. And I will now turn the call over to Michael for closing remarks.
Michael Pope: Thank you everybody for joining the call today. And we appreciate your support. We look forward to speaking again in March when we report our 2023 full-year results.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.